Operator: Welcome to the IBEX Third Quarter FY 2025 Earnings Conference Call. At this time, please be advised that today's conference is being recorded. After the speakers' presentation, there will be a question and answer session. To ask a question, please press 11 on your telephone, and wait for your name to be announced. To withdraw your question, please press 11 again. To note, there is an accompanying earnings deck presentation available on the IBEX Investor Relations website at investors.ibex.co. I will now turn this conference over to Mr. Michael Darwal, Head of Investor Relations for IBEX. Good afternoon, and thank you for joining us today.
Michael Darwal: Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals, and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinion as of the date of this call, and we undertake no obligation to revise this information as a result of new developments which may occur. Forward-looking statements are subject to various risks, uncertainties, and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our annual report on Form 10-K filed with the U.S. Securities and Exchange Commission in September 2024. With that, I will now turn the call over to IBEX CEO, Bob Dechant.
Bob Dechant: Thanks, Mike. Good afternoon, and thank you all for joining us today as we share our third quarter fiscal year 2025 results. I'd like to begin today by once again thanking my team for another outstanding quarter. Our track record of delivering great results continues to showcase why they are the best in the industry. And Q3 FY 2025 didn't disappoint. The momentum we have continues to build, and I am excited to report that we have returned to double-digit organic revenue growth at 11%. This marks our best growth in more than two years and resulted in our highest revenue for a quarter ever as a company. Additionally, we had another strong quarter on profitability, where we delivered adjusted EBITDA of $19.4 million at a margin of 13.8% and expanded gross margin by 50 basis points. I am also excited to announce that we achieved a major strategic milestone in the quarter with our entry into the India market for a leading healthcare client. Operating in this key location has been a strategic priority for the company and further enhances our client delivery options. Our reputation as a growth leader in the industry is driven by our success with our powerful new logo sales engine, winning large enterprise deals where we can execute our land and expand strategy. Blue-chip clients choose us for our differentiated capabilities and our ability to disrupt the status quo and outperform our competition. More recently, clients are also choosing us for our ability to quickly bring innovative AI solutions to market, enabling us to solve for today with our BPO solutions and tomorrow with our AI stack. This is a powerful combination. In the quarter, we won four key new logo opportunities, often against our much larger competitors, giving us a total of 12 for the year. As an example, we had a significant win with a top-tier global e-commerce company providing content moderation services that leverage a complex balance of both AI automation and human review. Additional services include the verification process for traders, sellers, user review moderation, content policy enforcement, and general consumer compliance. And now we are expanding with them to provide global English customer support. Our land and expand strategy with our embedded base clients was in full throttle in Q3. We had strong growth within our top 25 clients, and in particular, our top five clients. Again, this is driven by our ability to outperform our larger competitors across all our theaters. As a result, we have developed strong trust with our clients, and this plays a huge role in their willingness to expand with us in many of our regions and even now in a brand new market for us like India. In the quarter, we had great success with our market-leading Wave iX AI solutions, winning and launching several clients with our AI automate and AI translate offerings. These significant milestones increase our stickiness with our clients and widen our competitive moat. Importantly, our Wave iX AI pipeline is robust, with over 75 opportunities in the pipeline today and nine deployments expected in fiscal Q4. As we look to FY 2026, we are confident that these high-margin services will provide meaningful revenue and margin expansion for us. Our growth vectors continue to be our margin expansion drivers. From a geographic standpoint, we grew our highest margin offshore region by 19% year over year. This is our strongest growth there in two years. From a service standpoint, our higher margin integrated omnichannel revenue grew by 16% year over year and now represents 81% of our overall business. Let me take a moment to recap what we accomplished in the quarter. We delivered record revenue of $140.7 million, up 11% from a year ago. We delivered strong Q3 adjusted EBITDA margin of $19.4 million while making key investments into India. We achieved record adjusted EPS of 82¢, up 18% from a year ago. We generated $3.6 million of free cash flow and completed the repayment of the seller financing note to TRGI associated with the strategic repurchase of approximately $3.6 million shares from them in Q2. We closed four new logos in the quarter. These wins cut across the health tech, fintech, and retail and e-commerce verticals. We had an impactful quarter with key wins and launches in our leading Wave iX AI solution stack. Lastly, we made our first entry into India, a strategic market that will provide us additional growth opportunities in the future. Again, I couldn't be more proud of this team and their performance. Before I close, I would like to take a moment to address the current tariff impacts on our business. We view the direct impact of the U.S. trade tariffs to not have any impact on our business, as our services fall outside of the scope of the trade measures. Indirectly, to date, we have seen no impact on our client volumes, and we currently believe that the impact on future volumes will be limited to a small subset of our clients, as we maintain an incredibly well-diversified client and industry vertical base. In closing, we remain confident in the trajectory of our business. Therefore, I'm excited to announce that we are raising full-year guidance on both revenue and EBITDA and are launching a new $15 million share repurchase program. We have built a very strong business that continues to execute quarter over quarter, and we are well-positioned to do so in the future. With that, I will now turn the call over to Taylor Greenwald to go into more details on our third quarter FY 2025 financials and guidance. Over to you, Taylor.
Taylor Greenwald: Thank you, Bob. And good afternoon, everyone. Thank you for joining the call today. In my discussions of our third quarter fiscal year 2025 financial results, references to revenue, net income, and net cash generated from operations are on a U.S. GAAP basis, while adjusted net income, adjusted earnings per share, adjusted EBITDA, and free cash flow are on a non-GAAP basis. Reconciliations of our U.S. GAAP to non-GAAP measures are included in the tables attached to our earnings press release. Turning to our results, our third quarter results are once again among the strongest in our history with record top-line results, strong profitability, and record adjusted EPS. Quarter revenue was $140.7 million, an increase of 11% from $126.8 million in the prior year quarter. Revenue growth was driven by vertical growth in health tech of 20%, travel, transportation, and logistics of 19%, and retail and e-commerce of 15%, along with growth in our digital acquisition business. These increases were partially offset by a decline in the fintech vertical of 12%. It is worth noting this quarter also saw slight sequential growth over our second quarter, which is typically our highest revenue fiscal quarter, the first time in nine years. Market share gains enabled this result. Focused efforts to grow our higher margin offshore delivery locations are continuing to have a favorable impact on bottom-line results. Offshore revenues now comprise 51% of total revenue versus 48% in the prior year quarter, contributing to our 50 basis point gross margin improvement to 31.8%. Revenue mix in our higher margin digital and omnichannel services also continues to be strong. Digital and omnichannel delivery represented 81% of our total revenue, an increase from 78% in the prior year quarter, and grew 16% versus the same quarter a year ago. For context, digital and omnichannel comprised roughly 65% at the time of our IPO in 2020. We expect that we will continue to be successful driving growth in these higher margin regions and services, as new client wins, and growth in our embedded base continue to be focused in these areas, and as we grow in our new market, India. Third quarter net income increased slightly to $10.5 million compared to $10.3 million in the prior year quarter. The increase was primarily driven by the meaningful growth of work in higher margin offshore regions of 19% year over year for the quarter, and the realization of site and cost optimization efforts completed over the past year, partially offset by higher selling, general, and administrative expenses related to investments in our team's technology expansion in India, and the Workday implementation. Net income was also impacted by increases in interest expense and income tax expense due to the absence of a discrete item recorded in the prior year. Fully diluted EPS was 73¢, up from 57¢ the prior year quarter. Contributing to the EPS growth was the impact from fewer diluted shares outstanding from share repurchase over the last year, including the repurchase of $3.6 million shares from TRGI in November. Our weighted average diluted shares outstanding for the quarter were 14.4 million versus 18 million one year ago. The board has recently authorized an additional $15 million share repurchase plan over the next year. Moving to non-GAAP measures, adjusted EBITDA increased to $19.4 million or 13.8% of revenue from $19.2 million or 15.1% of revenue for the same period last year. Our improved gross margin performance was offset primarily by increases in selling, general, and administrative expenses related to the aforementioned investments in our expansion in India, and in our people and technology leading to a 30 basis point decline in adjusted EBITDA margin during the three months ended 03/31/2025, compared to the same quarter in the prior year. Adjusted net income decreased to $11.8 million from $12.6 million in the prior year quarter. Non-GAAP fully diluted earnings per share increased to $0.82 from $0.70 in the prior year quarter, driven by the impact of higher revenue, improved operating performance, and fewer diluted shares outstanding, offset by higher income tax and interest expense. We expect our tax rate to track toward 20 to 21% for the year. As a company, we're pleased with the client diversification we've established over the last several years. For the third quarter of fiscal year 2025, our largest client accounted for 11% of revenue, and our top five, top 10, top 25 client concentrations remained consistent with the prior year at 38%, 54%, and 80%, respectively, of overall revenue, representative of a well-diversified client portfolio. Over the past decade, we've done a tremendous job retaining our top 25 clients, and are excited to see one of our signature client wins from fiscal year '24 now move into the top 15. Switching to our verticals, health tech increased to 15.8% of third quarter revenue, versus 14.6% the prior year quarter, travel transportation logistics increased to 14% versus 13.1% in the prior year quarter, and retail and e-commerce increased to 25.7% versus 24.9% in the prior year quarter. These increases were driven by continued growth in multiple offshore geographies and our continued ability to win significant new clients in these verticals. Conversely, exposure to the fintech vertical decreased to 10.8% of revenue for the quarter, versus 13.7% in the prior year quarter, as we believe after this quarter, we will have largely lapped the impact of some client payment support model changes and geographic shifts from onshore to offshore delivery of the last year. Net cash generated from operating activities was $8.8 million for the third quarter of fiscal 2025, compared to $11.4 million for the prior year quarter. Our DSOs were seventy-seven days, down from seventy-nine days at the end of the second quarter. We expect our DSOs to remain stable in the mid-seventies on a go-forward basis. Improvement in our day sales outstanding during the current year quarter was offset by increased investments in organizational teams and technology and expansions into the Indian market as compared to the prior year quarter. Capital expenditures were $5.3 million or 3.7% of revenue for the third quarter of fiscal year 2025, versus $1.7 million or 1.3% of revenue for the prior year quarter. This planned increase was primarily driven by expansion to meet demand in our offshore and nearshore regions supporting growth in these higher margin geographies. As a result of our operating cash flow and increased capital expenditures in the quarter, free cash flow was an inflow of $3.6 million in the current quarter, compared to $9.7 million in the prior year quarter. We ended the third quarter with $13 million of cash and debt of $20.6 million for a net debt of $7.6 million. Improvement of $6.1 million compared to net debt of $13.7 million at the end of our second quarter. During the quarter, we used our available cash and HSBC revolving facilities to retire the $25 million convertible note we had with TRGI. To summarize, our third quarter of fiscal 2025 achieved outstanding top and strong bottom-line third quarter results. We delivered a multi-high top-line performance with 11% revenue growth, over 7% fiscal year to date, with 19% growth in our highest margin offshore regions. Our adjusted EPS of 82¢ was up 18% over the prior year quarter and was a record for our business. The continued expansion of our embedded client base and new client wins over the last year drove these excellent results. The upward trend in our results over the last few quarters not only enables strategic investments in our growing AI capabilities and sales resources, but also our in-quarter entry into the Indian market. Importantly, these results instill continued confidence in the execution of our strategy enabling us to again raise our fiscal year guidance, commence the newly authorized share repurchase program, and continue to return value to shareholders. In terms of guidance, for fiscal year 2025, revenue is now expected to be in the range of $540 to $545 million versus a previous range of $525 to $535 million. And adjusted EBITDA is expected to be in the range of $68 to $70 million versus the previous range of $68 to $69 million. Capital expenditures are expected to remain in the range of $15 million to $20 million. Our business is well-positioned for today and the years ahead, and we're excited about the future of IBEX as we complete fiscal year 2025 and look to fiscal year 2026 and beyond. With that, Bob and I will now take questions.
Operator: Thank you. As a reminder, to ask a question, please press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. One moment for questions. Our first question comes from Jacob Hagerty with Baird. You may proceed.
Jacob Hagerty: Hey, guys. Congrats on the great results and getting into India. It's exciting. So I just had a question for you. You guys beat on your sequential, like, you know, against normal sequential trends pretty meaningfully this quarter. And I was just kinda curious if that's something that we should expect going forward. You know, it looks like, you know, based on the guidance kind of at the top end, you're still looking at being below normal sequential trends. So how should we kinda model, like, Q4 sequential trends? Do you expect them to be similar to this quarter, or do you expect a step down? And then kinda going into 2026, is this gonna become a trend of, you know, being able to exceed the historical trends? Thanks.
Bob Dechant: Yeah. Thanks. And great question. And, Jacob, I appreciate your being on the call and all. So we're really proud that, you know, that our Q3 did not contract from our, you know, our seasonal, typical seasonal, strongest quarter of Q2. How that happened, there are multiple dimensions to that. First of all, over the years, we've done a pretty good job of building our business beyond just heavy, heavy retail. And so when you bring in healthcare opportunities, things like that, a lot of those volumes are not quite, you know, they extend into Q3 pretty well, as, let's say, client customers and members may change plans and such. So we think we've structurally changed it. Now that being said, we have a strong amount of Q2, you know, call it peak holiday volume that we will always have. One of the key things we did this year was we were able to take significant market share away from our competitors in Q3 driven by performance. And so as those volumes were contracted across the enterprise, for our retail customers, they took the volume out of our competitors and kept us, you know, much stronger based off of performance. Our goal is to keep that up year over year. And, you know, so there you know, those are two vectors that drove that. The third is our strength of our new logo, our new logo team. And I when I looked at data, I think we're about $5 million of, you know, new logo revenue in the quarter that, you know, did not exist a year ago. And we expect that to continue. So, you know, look, we would love it to be flat year over year. I don't think that's necessarily the perfect expectation. But I feel pretty confident that the sequential decline from Q2 to Q3 will be muted, you know, will be, you know, the slope down will be a lot less than it has historically been. Now as it relates to Q4, you know, look. You know, we typically decline just a little bit from Q3 to Q4. From a, you know, from an absolute dollar standpoint. We'll see where, you know, where that's going. I mean, trend probably is, you know, is will probably continue. Taylor, you know, I'll throw it over to you, Taylor. Maybe you have it, you know, a little more comment on Q3 to Q4.
Taylor Greenwald: Yeah. No, Bob. I think you're correct. I think we will see the trend of a small decline from Q3 to Q4 in our full-year guidance would suggest that. Also, you look at the year-over-year growth rates, you know, Q4 last year was the year where we really started inflecting toward growth. So comps are gonna get a little tougher for us, but we still feel like we have great momentum and are very pleased with the direction of the business.
Jacob Hagerty: Yeah. No. I appreciate it. And, just to kind of follow-up on that. So, you know, when we've talked about kinda AI with you guys in the past, it's been about it coming on at a stronger margin. So I just kinda wanted to touch on the year-over-year margin decline this quarter. Is that, like, really just pretty much a percentage coming from your expansion to India? Is there a little piece of, you know, maybe new volume that was signed that's kind of bringing that down a little bit? Or what's kind of the dynamic there?
Bob Dechant: Sure. Let me start with that. So when we think of our overall business, we actually grew gross margin by 50 basis points year over year. So that is driven by the growth of our high-margin services and regions. We expect that to continue. Now we've made some pretty big investments in the quarter, in particular, India. You know, those costs hit the quarter, but they jump-start you for another vector of growth. So that's how we looked at that. So I think structurally, our business is not under headwinds on margin decline unless we're making aggressive investments for growth, which is, you know, growth in, you know, kind of a, you know, a real strategic footprint for us. So, you know, we feel very good about that trajectory of our business. Now, you know, you kinda touched on AI. Now we believe AI will come in and be even a higher margin service than any of the other services we have in our stack and any of the other geographies we have in our stack today. Now what's really exciting is as we move from Q3 to Q4, I think we are now moving from our business, our AI solutions being what I'll call prototypes and pilots, to now being full deployments. That will have a very, very important impact on our clients' business. And then we'll, as a result, start driving, as I said, meaningful revenue and margin expansion for us. I look at the move from Q3 to Q4 as that inflection point from going, you know, like, exciting pilots to really powerful deployments and, you know, full production deployments. And so we're really excited about that and think that positions us very well into FY '26.
Jacob Hagerty: Yeah. No. That sounds good. Just I guess, just kinda touching on and this is my last question. Sorry. Just kinda touching on the AI dynamics there. When you're saying that it's going to provide a meaningful revenue uplift, so is that something that you guys are going to start realizing kinda right away, right at the start of the implementation of these projects, or does that take a, you know, a quarter or two to develop? And then is that something that, you know, you're implementing within your base as well where we might even see existing contracts get a revenue uplift?
Bob Dechant: Sure. So, you know, really, really good question. You know, we've been winning these deals over the last several quarters. And I would say kinda to your question, it's a couple quarters worth of as you win those, work with clients to, you know, to begin piloting the solution before you go full production. And so we've been deploying these, but mostly in exciting pilots that now are going into production. So those will go into production and should start generating revenue and, you know, revenue and high margin, let's say, starting this quarter, our Q4, and obviously then move stronger into FY '26. The wins that we continue to have will have that probably two-quarter effect of where we pilot them. And then we move into, you know, kind of full-scale production. So, you know, we feel like with the 75 opportunities that we have in the pipeline, we're gonna continue to win. Win at a good rate, and start layering those in as, you know, pilots that evolve into production and you could just see, you know, you can see a, you know, a cascading effect into, you know, into the growth of that, I think, quarter over quarter. So we're pretty, you know, I think we're pretty excited about that. And let me just, there's two key offers we have that we have really made commercial. One is our AI automate, and that's where we are automating customer interactions. And we see low complexity calls as ideal for that. And we're working with our clients to identify those, and bring those in. We, you know, that will go into eliminating some of the human volume. But the math that we've done with our size, when we win those opportunities, we win them on an enterprise basis. We may have 20% of the outsourced work or 30% of the outsourced work, we may lose some of that revenue to the, you know, from the human calls that then goes to AI. But we're winning AI at an enterprise level. The math, we believe that's accretive revenue to us. Now the second solution we have is AI translate. And AI translate for us is where we go after the language translation services bureaus. Where it's a percentage accretive to us. That's every deployment there is accretive, fully accretive revenue to us. So when you put those two together, we believe that AI is a growth vector into our overall business. Even as it may, you know, be offset a little bit with, you know, with, you know, with cannibalizing a little bit of our agent volume. But because we win so much of that on an enterprise level, we believe it's all accretive.
Jacob Hagerty: No. That all makes sense. Thank you.
Bob Dechant: Great. Thank you for the questions.
Operator: Thank you. I would now like to turn the call back over to Bob Dechant for any closing remarks.
Bob Dechant: Josh, thank you, and thank you all for attending the call today. As you could tell, we're very proud of the results that we've delivered this quarter. But I think more importantly, these results that we've delivered over quarter after quarter after quarter. You can see the momentum in the business. We're very excited about what we've built. We believe that we have created just a fantastic business in this space. And we're outperforming the industry. Look forward to that. So thank you all, and we look forward to talking to you all after the full-year results in September. Thank you.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.